Operator: Welcome to the Second Quarter 2014 Earnings Conference Call. My name is Janet, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Jason Lang. Mr. Lang, you may begin.
Jason Lang: Thanks, Janet. Good morning, everyone. Welcome to Avista's second quarter 2014 earnings conference call. Our earnings were released pre-market this morning and the release is available on our website at avistacorp.com. Joining me this morning are Avista Corp Chairman of the Board, President and CEO, Scott Morris; Senior Vice President and CFO, Mark Thies; Senior Vice President and the President of Avista Utilities, Dennis Vermillion; Vice President, State and Federal Regulation, Kelly Norwood; and the Vice President, Controller and Principal Accounting Officer, Christy Burmeister-Smith. I would like to remind everyone that some of the statements that will be made today are forward-looking statements that involve assumptions, risks and uncertainties, which are subject to change. For reference to the various factors which could cause actual results to differ materially from those discussed in today's call, please refer to our Form 10-K for 2013 and Form 10-Q for the first quarter of 2014 which are available on our website. To begin this presentation, I would like to recap the financial results presented in today's press release. Our consolidated earnings were $1.67 per diluted share for the second quarter of 2014, compared to $0.43 for the second quarter of 2013. On a year-to-date basis, earnings were $2.48 per diluted share for 2014, compared to a $1.13 last year. Now, I'll turn the discussion over to Scott.
Scott Morris: Well, thank you, Jason, and good morning, everyone. Well, I can say we certainly had an eventful 2014 thus far, with the celebration of our 125th anniversary, the completion of our sale of Ecova on June 30, and the close of our acquisition of Alaska Energy and Resources Company on July 1. On the sale of Ecova, we recognized a net gain of about $68 million and we expect total net proceeds of approximately $133 million. I want to thank all of the employees at Ecova through their hard-work and dedication they built a truly world-class company. And I have every confidence that they will continue to be an industry leader and we wish them well into the future. We're excited about AERC becoming a part of our company. Their employees are highly skilled and they're going to be a great partner in addition to Avista. We also are looking forward to working closely with the community in general to the future. Looking ahead, AERC allows us to expand our energy customer base, as well as look at other market opportunities in Alaska. At our other businesses, our settlement in the California power markets litigation was approved by the Federal Energy Regulatory Commission, and we received settlement proceeds. We contribute a portion of these proceeds to the Avista Foundation to help sustain and support the communities we serve. With respect to regulatory matters in July we reached a settlement agreement with all interested parties in Idaho for a one year extension to our current rate plan which was set to expire at the end of 2014. Under the proposed extension based retail rates would remain unchanged through the end of 2015 and we expect an order regarding the settlement before the end of 2014. We're evaluating the need of our natural gas general rate case in Oregon and our expectation is to file a case in the second-half of 2014. Alaska Energy Light and Power is anticipating filing an electric general rate case with the regulatory commission of Alaska in the second-half of 2014 as well. Some of you may have heard about the wildfires in Washington State, and fortunately for us there has been no damage to our electrical system from these fires. However, we are wrapping up repairs to our system from two significant storms in the last couple of weeks. The first storm hit on July 23, and took some 40,000 customers up line in Spokane, Northeast Washington and Northern Idaho. We just finished up the repairs to more than 120 distribution and transmission poles and lines, when a second storm blew through six days later and it took out more than 48,000 customers. Over the two-week period, Avista crews from throughout the region, along with contact and mutual aide crews from Boise Bose [ph], Moses Lake, Seattle, Tacoma and Portland worked around the clock to restore power to our customers and I want to thank all of our Avista employees or all the contract crews and others who worked so hard to help restore power and provide a great customer service and do the things that we do so well, which is be a leader providing great customer service for our customers. I also want to thank our customers for their patience during this very difficult time. And while we are still adding up the costs associated with these storms our preliminary estimates are that total O&M and capital costs will not be material. So, in summary, we have completed two significant transactions during 2014 and we are anticipating improved earnings at Avista Utilities for 2014. And with that I'm going to turn it over to Mark.
Mark Thies: Thank you, Scott. Good morning, everyone. Our utility earnings were $0.44 per diluted share in the second quarter, an increase from $0.41 in the second quarter of last year. And on a year-to-date basis, Avista Utilities contributed a $1.24 per diluted share, up from a $1.11 last year. Our earnings for the quarter and year-to-date increased primarily due to the implementation of general rate cases in all of our jurisdictions and we also benefitted on a year-to-date basis from colder weather in the first quarter which was partially offset by milder weather in the second quarter. We also had expected increases in our operating costs depreciation, amortization and taxes other than income, so with that lower power supply cost, in part, due to improve hydroelectric generation this year, we had a very strong hydro-year this year to-date. Results for 2013 also included the net benefit from the settlement with Bonneville Power Administration. For the second quarter of 2014, we recognized a pre-tax benefit of $3.6 million under the energy recovery mechanism in Washington compared to a benefit of $1.1 million last year in the same period. For the six months ended, we've recognized a pre-tax benefit of $4.9 million under the ERM compared to $4.1 million for the same period last year. For the full year of 2014, we expect to be in a benefit position under the ERM within the 90% customer 10% company sharing band. We are committed to updating and maintaining our utility system. In the first-half of 2014, we spend $136.5 million on Avista Utilities' capital expenditures. We expect capital expenditures at Avista Utilities' to be about $255 million for 2014, which is a $20 million increase and this relates – this increase relates primarily to the replacement of our customer information and work management systems project. We expect to spend approximately $6 million for 2014 and $15 million in 2015 and 2016 related to capital expenditures for Alaska Electric Light and Power. Moving onto Ecova, their net income was $70.8 million for the first-half of the year compared to $2.7 million for the first-half of last year. And this increase was primarily attributable – all attributable to the net gain on the sale of $68.1 million. Excluding that gain, net income from Ecova's regular operations were flat compared to last year. Our other businesses contributed $0.07 per diluted share for the first-half compared to a net loss of $0.03 per share last year. The net income was primarily the result of – Scott mentioned of the settlement of the California power markets litigation in which we recognized pre-tax earnings of $15 million, partially offset by a contribution of $6.4 million to the Avista Foundation to help the communities we serve. METALfx had net income of $0.3 million for the first-half of the year, compared to $0.5 million for the first-half of last year. And lastly, we incurred $1.1 million of costs associated with exploring strategic opportunities. We continue to look at opportunities to develop new markets and new ways for customers use electricity, natural gas, including CNG and LNG. I'm now going to discuss some of our liquidity and financing plans for the year that have occurred and are expected to occur. During the second quarter of 2014, we received cash proceeds of $205.4 million from the Ecova disposition, and we expect to receive additional proceeds of $13.6 million from the escrow accounts related to the sale. We also received $15 million from the California power markets litigation settlement. We used the above funds to pay off the outstanding balances on our committed line of credit on July 1, of $151.5 million. We contributed $6.4 million to the Avista Foundation, and we initiated a common stock share repurchase program of up to 4 million shares during the second-half of 2014. We expect to borrow funds on our committed line of credit later during the third quarter and beyond in 2014, because we expect to make tax payments of $85.8 million associated with the sale of Ecova, and we'll need additional funds to complete our stock repurchase program. We have a $400 million line of credit with various financial institutions. And in April of this year, we amended this committed line to extend the expiration to April of 2019. And as of June 30, 2014, there was $151.5 million of borrowings, which I said we paid off on July 1, and there were $21.9 million of letters of credit outstanding, leaving us with strong availability under this line of credit. We expect to issue approximately $165 million of long-term debt during 2014, including about $90 million related to the Alaska acquisition. In July of 2014, Alaska Light and Electric Power entered a bond purchase agreement for the sale of $75 million in first mortgage bonds to be issued in September of 2014. The first mortgage bonds bare an annual interest of 4.54% and our 30-year bonds maturing in 2044. In addition to the first mortgage bonds, we expect to issue $15 million in term loans at AERC during the third quarter of 2014. We acquired the Alaska companies primarily with Avista Corp. common stock, and therefore the proceeds from the borrowings will be used to repay approximately $38 million of existing Alaska Electric Light and Power debt and the remainder of the proceeds are expected to be dividend – as a cash dividend up to Avista Corp. to rebalance the capital structure. In the first-half of 2014, we issued 2 million of common stock under the dividend of reinvestment and stock repurchase and employee plans. As Scott mentioned on July 1, we issued 4.5 million shares of common stock at a total fair value of $150 million relating to the closing of the Alaska transaction. We do not expect to issue any additional shares other than those for the remainder of 2014 other than those under the dividend reinvestment, direct stock purchase plan, and employee plans. On July 7, we commenced a stock repurchase program to repurchase up to 4 million shares of our outstanding common stock. The program is set to expire December 31, 2014, and we have the option to terminate the program before that date. Through July 31, 2014, we have repurchased 292,000 shares at a total cost of $9.4 million. Based on year-to-date – now I'm going to talk about guidance. So based on our year-to-date results at Avista Utilities, we have increased as Scott mentioned, increased expectations for Avista Utilities for the remainder of the year, and we've had the two significant transactions that have occurred to-date, and based on that we are raising our 2014 guidance to include the impact of all of these items. Our consolidated earnings guidance for 2014 is a range of $3 to $3.20 per diluted share. We expect to be near the upper end of this range, including the impacts of the ERM. The updated guidance includes the dilutive impact of the 4.5 million shares of common stock on July 1, for the Alaska transaction, as well as our current expectation to repurchase approximately 4 million shares of common stock through our repurchase program for the remainder of the year. Our consolidated segment and segment ranges include the uncertainty around the timing of the share repurchases through our stock repurchase program. With respect to the utility, we expect Avista Utilities to contribute in the range of $1.79 to $1.94 per diluted share for 2014. This is an increase from our range of $1.68 to $1.82 per diluted share and is primarily due to lower than expected operating costs, higher loads, and the delayed implementation of the replacement of our customer information and work management systems. We expect to be near the upper end of this range, including the impacts of the ERM. As I mentioned earlier, we expect to be in a benefit position of the ERM in the 90% customers 10% company sharing range. Our range for Avista Utilities encompasses expected variability in power supply costs and the application of the ERM to that power supply cost variability. Our outlook for Avista Utilities assumes, among other variables, normal precipitation, temperatures and hydroelectric generation for the rest of the year. We expect AERC to contribute in the range of $0.03 to $0.04 per diluted share for the second-half of 2014. Historically, AERC has approximately two-thirds of their earnings during the first-half of the year and one-third of their earnings occurred during the second-half of the year primarily due to a winter rate schedule that they have from November through May, which is unique to their company. We expect the other businesses to contribute between $0.05 and $0.07 per diluted share, and that includes the impacts of the California litigation settlement, as well as the contribution to the Avista Foundation. I will now turn the call back to Jason.
Jason Lang: Thanks, Mark. Janet, we'd now like to open the call up for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) And we have a question from Julien Dumoulin-Smith of UBS. Please go ahead.
Michael Weinstein – UBS Securities LLC: Hi, guys, it’s Mike Weinstein actually.
Scott Morris: Hi, Mike.
Mark Thies: Hi, Mike.
Michael Weinstein – UBS Securities LLC: Hey, couple of questions. One on – what is the – what do you expect the balance sheet for the consolidated company to look like at the end of the year after all your plans are finished and also for next year, what are you targeting? And then as well wondering what kind of accretion you are seeing, you are expecting from AERC next year as well.
Scott Morris: Well, again, we haven’t put out 2015 guidance. We – historically, we do that on our third quarter call, and we would expect that that's what we have looked to putting out to 2015 guidance. I don’t think we're looking to do that at this point with just closing the two transactions. With respect to the balance sheet, we did issue the 4.5 million shares with respect to the Alaska transaction. And then over the course of the remainder of the year, we look to repurchase because of the proceeds primarily, because of the proceeds of the Ecova sale up to 4 million shares. And that’s included in our expectations for 2014, and it really is to get us to maintain a prudent balance sheet. We did get $68 million gain that goes right to our retained earnings and that helps us as long as – as well as the cash proceeds. So we expect to continue to maintain a prudent balance sheet at to the Alaska company, we look to have the regulatory capital structure that they've had in the past, which is approximately 54% equity and approximately 46% debt, and we look to have a similar 47%, 48% equity layer for our utilities, as we look at Avista Utilities, and we would expect to continue to manage our balance sheet that way.
Michael Weinstein – UBS Securities LLC: So on a consolidated basis if it’s more match to Wash and Idaho utilities?
Scott Morris: Yes, that would be our expectation.
Michael Weinstein – UBS Securities LLC: Right. And my last question is about Salix, is that how you pronounce it?
Scott Morris: Yes.
Michael Weinstein – UBS Securities LLC: Okay. Just wondering what kind of progress you are seeing there, and what opportunities you might be looking at?
Scott Morris: Well, we continue to make a lot of progress with respect for those that may or may not know Salix really is where we look to do a lot of our LNG work. And we continue to make good progress working through with a number of parties looking at opportunities in both Alaska and Hawaii and in the Northwest for a number of different opportunities. We have made a small investment in Plum Energy, that continues to look for some smaller scale LNG, and we continue to think that’s an opportunity for long-term growth. There is nothing on a project set that says, we are ready to announce a project today, but we continue to make good progress working through the evaluation of opportunities to really use clean burning fuel to offset diesel in many locations and that’s really what we are driving at, we think that makes a lot of sense. But I don’t have a project to announce, Mike.
Michael Weinstein – UBS Securities LLC: Okay. Thank you very much.
Scott Morris: Thank you.
Operator: And our next question comes from Jim von Riesemann of CRT Capital. Please go ahead.
Jim von Riesemann – CRT Capital Group LLC: Hey, Scott, hey, Mark, how are you?
Scott Morris: Good morning, Jim.
Mark Thies: Good morning, Jim. Good.
Jim von Riesemann – CRT Capital Group LLC: Can you just explain how you show year-over-year earnings growth into 2015 based on this revised 2014 EPS guidance that you're providing today?
Scott Morris: Well, I mean, 2014 is a good year, right. I mean, we have strong hydro, we continue to manage our costs well. We've had decent loads, so there is a awful lot of things in this year that are positive, we'll have to look to 2015 to see all that goes. We will normalize some for weather, which we always do, and that’s going to be some of the challenges, because in the ERM, as we continue to look at this year, we expect to be in the ERM in the 90%, 10%, while we don’t expect to be in 90%, 10% in the ERM all the time, that’s an unusual thing for us. So, some of that, there may be some items that this year benefits that may not be the same next year when we come out in the fall when we look to give guidance, we'll address those.
Jim von Riesemann – CRT Capital Group LLC: Well, let me ask the question a little bit differently, why do you guys decide to include the California Energy Crisis Settlement and then the gain on the disposition of Ecova in your ongoing guidance?
Scott Morris: Well, I didn’t – I wasn’t trying to look at it as ongoing, I was trying to state the guidance as we look at this and say, what are we going to demonstrate as earnings? We try to separate those out individually, so they could, I can't do reconciliations and pull them all to get into non-GAAP disclosures, and I have to do a lot of different things. So what we look at is, let’s identify the game, that’s what it is. You can strip that out then, right, that’s what there is a game there, and you can do whatever you want with that same thing with identifying the details of the California settlement and the donation, the contribution to the Foundation. You can look at those and they are separate. We also then gave specific guidance with respect to Avista Utilities…
Jim von Riesemann – CRT Capital Group LLC: Right.
Scott Morris: And AERC, so that is the on – that is a very much to ongoing. And then if you look at other and took out the unusual things, that could give you ongoing guidance for other, and that’s really how we looked at it, when we wanted to come out with the guidance.
Jim von Riesemann – CRT Capital Group LLC: Okay.
Scott Morris: (inaudible) strong guidance at Avista Utilities, like I said a lot of things went well this year, that’s not always the case.
Jim von Riesemann – CRT Capital Group LLC: No, I get on that stuff, I was just curious as to the presentation and why that – and the thought process behind on a totally different topic. Now that Ecova is divested, what are you thinking about the dividend going forward, you’ve taken, there is variable Ecova business out of the equation. You are really a regulated business with a couple, non-regulated, potential growth avenues, how do you feel about the dividend?
Mark Thies: Well, I can tell you, Jim, that our Board, I think really still feels the same as it always asked about the dividend. We will continue to pay, I think a good dividend payout ratio in that 60% to 70% range. We've said that we want to continue to grow the company 4% to 5%, and we expect the divided to kind of follow our growth. So I don’t really see a change.
Jim von Riesemann – CRT Capital Group LLC: Okay. I was just curious on that. Alaska, you indicated that your thought process is going towards a rate filing in the second-half of this year, can you just talk about maybe some of the broad parameters on what you might think about with the rate filing, whether it’s cap structure, what kind of an ROE request you might think about? What type of CapEx you might be looking at, we have had an lot of visibility into it, and obviously, you couldn’t say much during the pendency period, so any color would be very helpful?
Kelly Norwood: Yes, this is Kelly Norwood. We take and look at the numbers. In the case, it will be driven by AEL&P and the folks up there. But if you look at the capital additions in the last year and as we look at 2014, they are not significant when compared to depreciation, so there is not a lot of rate pressure driven by capital additions. As we look to the future for 2015 and 2016 then it’s little more in terms of capital additions. Operating costs, they have done a good job managing those. And as we look at capitalizing that, Mark, has talked about staying in that 54% equity range for AEL&P. So what we are seeing right now is probably not a great need for regularly [ph], but there is some, and so we are taking a hard look at whether we should file later this year.
Jim von Riesemann – CRT Capital Group LLC: How should we think about like CapEx relative to depreciation at Alaska, is it like 1:1, 1.5:1 to 2:1?
Scott Morris: At this point, Jim, it may look at that very hard and with Tim and Scott and Don, the team up there, they look at their CapEx needs and they haven’t significantly grown their rate base, because they are cognizant of the impacts to their customer base. So they’ve been able to manage their system very effectively over the course of time while recognizing there are opportunities for future capital. So we do see that that CapEx bumps up in 2015 and 2016, but I don’t think they are looking at significant CapEx unless they get an opportunity to build another significant hydro plant, but you really need some load for that and the ability to not have rate shock with a large plant coming in. So we continue to evaluate those opportunities and they do up there as well and we would expect that evaluation to continue.
Jim von Riesemann – CRT Capital Group LLC: And the last question, which is a follow-up to Mike's question on this LNG expectations, can you just talk about broadly, what sort of goals you might have out of it, is it from a cash flow perspective and earnings perspective, and maybe even sort of the ultimate capital that you want to commit to the business?
Scott Morris: Yes, I mean, I don’t mean to be facetious about it, Jim. We are looking at it as an opportunity to deploy capital. We would look at this as a longer-term contract. This is not a short-term play for us, it really is a long-term view of saying we're going to look at this, because plant like this take a while to permit and to get constructed and deliver significant LNG over time to larger-scale customer. So that is, we are looking at it as that is an opportunity to deploy a significant amount of capital to have good strong cash flows and good earnings impacts and returns on that to grow, to help us achieve that longer-term growth of 4% to 5%.
Jim von Riesemann – CRT Capital Group LLC: Okay. When you say significant amounts of capital invested, is that – should I presume that that might include some sort of equity issuance to support the LNG project going forward or not?
Scott Morris: Again, it depends – that depends, I would look if we have a big enough project, yes, we would finance that prudently….
Jim von Riesemann – CRT Capital Group LLC: Okay.
Scott Morris: And if we needed to raise some equity for that, we would. But I don’t have a project that I'm saying, is going to go out today or tomorrow. We have to look at that, it’s a longer-term play. But when that does occur, that could include have and raise some additional capital if we have a significant enough transaction.
Jim von Riesemann – CRT Capital Group LLC: Okay. Super, thanks. I have taken up enough time at this point, let somebody else ask.
Scott Morris: Yes. Thank you.
Operator: And we have a question from Brian Russo of Ladenburg Thalmann. Please go ahead.
Brian Russo – Ladenburg Thalmann & Co., Inc.: Hi, good morning.
Scott Morris: Good morning, Brian.
Mark Thies: Hi, Brian.
Brian Russo – Ladenburg Thalmann & Co., Inc.: If we wanted to look at your second quarter adjusted ongoing EPS, is the way to do it is take the 167 and subtract to $1.12 for the Ecova sale gain and subtract $0.09 for the litigation settlement gain, and so an adjusted ongoing 2Q 2014, EPS would be $0.46?
Mark Thies: Yes, again, I have to be careful not to get into non-GAAP, but that’s why we gave you those specific numbers was to be able to say, here is what the Ecova gain as you can pull that out, here is what the settlement is. So, yes, that math, make some sense. And really the difference is then looking at effectively if you look at Avista Utilities on a recurring basis, we have that separated out too. And as we go forward Avista Utilities and the Alaska operations with Alaska Electric Light and Power, those will be the divers of our ongoing future.
Brian Russo – Ladenburg Thalmann & Co., Inc.: So, in the past you've disclosed kind of what an earned ROE would be relative to your earnings guidance range. It seems be absent from this presentation or updated guidance. I'm just curious if you can comment on that.
Mark Thies: It hasn't changed.
Brian Russo – Ladenburg Thalmann & Co., Inc.: Okay.
Mark Thies: I mean, if we expect to be on the higher end at the time, the higher end of our prior guidance was 9.1 on an ROE basis at Avista Utilities. And we're having a strong year, so that may be slightly higher this year because of a number of factors that I discussed.
Brian Russo – Ladenburg Thalmann & Co., Inc.: When we think about the increased in the Avista Utilities guidance, can you break that down on – in terms of what is load, and is that load be impact from weather? And then the AERC contribution and then the lower than expected operating expense?
Mark Thies: No, we didn't give a specific components of each. AERC is not included in Avista Utilities, that's separate, that's additive. So when you look at it, it's Avista Utilities and then the Alaska operations, and those are additive to each other. And we expect – the impacts for this year really were across all three, the lower operating expenses, the delay really in the implementation of the project for our computer systems and our work management system really, we delayed depreciation and we have a little bit of AFUDC on that as we go forward. But that will, expected to go into our regulatory rate cases in the future when that comes online which we expect to be in early 2015. So that was just really a timing issue for this year. And then the loads, yes, it was just – we've had a somewhat hotter July and August to-date. And so we got a little bit – we got a pick-up on loads there, largely due to weather and we've continued to have strong hydro through this year. And from the year further west of the way out, we expect normal hydro and normal temperatures. So it is, some of these have occurred and some of them we continue to manage our operating expenses and we've always tried to manage our operating expenses. But I'm not going to break it down by each component, they're pretty similar.
Brian Russo – Ladenburg Thalmann & Co., Inc.: All right, so we could just breakdown the $0.12 increase in the midpoint just spread it evenly amongst those drivers?
Mark Thies: Again, it's across all those drivers, if it's – you're not going to be off much if you do it.
Brian Russo – Ladenburg Thalmann & Co., Inc.: Okay, okay. Now, I've been reading lately in the press, lot of utilities are getting more vocal in the northwest and the need for gas, infrastructure, et cetera, et cetera, just you can kind of maybe just add your thoughts on how that kind of ties into your whole search for energy centric type investments in your region?
Scott Morris: Well, I would say in the Pacific Northwest, I don't think we have the same infrastructure needs as the northeast. We've got a very robust pipeline system, as we do our IRP, Brian, as we look our transmission needs, we're really in really good shape. As you recall we've got great basin support from the Rockies, Alberta, and British Columbia and have ample pipeline capacity to – from those three areas. So as we look at opportunities to grow our gas business, it's really as Mark said, we're looking in Alaska, opportunities from an LNG to really create an LBC in Alaska and that's really where we see some additional natural gas infrastructure investment for us, opportunities for the future.
Brian Russo – Ladenburg Thalmann & Co., Inc.: Okay, great. Thank you.
Mark Thies: Thanks, Brian.
Operator: And our next question comes from Andy Levi of Avon Capital Advisors. Please go ahead.
Andy Levi – Avon Capital Advisors LLC: Hi, good morning, guys.
Scott Morris: Good morning, Andy.
Andy Levi – Avon Capital Advisors LLC: A couple of questions. I'm still – so I'm little confused I guess. That's nothing new if you spoke to my wife [ph]. Okay. So, just I guess, first just to focus on this year. So, I guess, you got your $3 to $3.20 and then we back out Ecova, which I don't know we'll call like a $1.15 and then like another $0.10 for the California gain, right? Because you gave some – some of them you expensed in the second quarter, right, for a donation? So it's about $0.10, so kind of the way to look at it?
Mark Thies: Yes, $1.15 minus the $0.64, pre-tax numbers, you can do the math.
Andy Levi – Avon Capital Advisors LLC: Right, right, okay, thank you. And so your guidance is basically on a – again, I know you don’t want to talk operating, but it’s probably pretty close to what it was when you originally gave guidance for the year, with just the pieces being different on an operating basis. Is that kind of a fair statement?
Mark Thies: Well, you had Ecova, that was 12 to 16.
Andy Levi – Avon Capital Advisors LLC: Right.
Mark Thies: And that's stripped out, again, the two and then we had the – the gain. So like you said and then – but you're only getting a half a year of Alaska and really not getting it for full year.
Andy Levi – Avon Capital Advisors LLC: Right, I know. No, I'm just, yeah, yeah. No, no, I just want to understand I mean, and then the Alaska just $0.03 to $0.05 there. Does that that includes dilution or it doesn't include dilution or…?
Mark Thies: All that includes dilution. Even the utility – Avista Utilities includes the issuance of the 4.5 million shares on July 1, less and this is where we have a little bit of a range, the timing of the repurchase of up to 4 million share for the rest of the year.
Andy Levi – Avon Capital Advisors LLC: Right, okay. But it’s $0.03 to $0.05 and then you have dilution on that affects the whole corporation, but it’s $0.03 to $0.05 of earnings with the dilution and that was not contemplated right originally, I think in…
Mark Thies: Correct.
Andy Levi – Avon Capital Advisors LLC: When you gave guidance, right?
Mark Thies: Correct. When we originally gave guidance, we hadn’t contemplated selling Ecova and we hadn’t contemplated. I mean, we had announced the transaction for Alaska in November, I don’t know the exact date in November around the time of the press release when we announced earnings, but we excluded it from our earnings guidance. And now that we've closed the transaction we've included it.
Andy Levi – Avon Capital Advisors LLC: Got it, okay. So basically, let’s call 175 to 195 give or take a few cents just kind of your base for this year and also includes $0.10 or something like that for the ERM being as an expected? And then weather-wise, because I assume you had a weather benefit in the first quarter versus normal and then I do remember seeing on the news that you had extreme hot weather in July, I don’t – August has just started, but I think like 95 degrees, 100 degrees something like that. Do you – can you quantify how much weather earnings benefit you have thus far versus normal weather not including the ERM obviously?
Scott Morris: Well, that’s why when we gave our revised range for Avista Utilities, that’s included in that increased loads, the expectation of the warmer weather in the quarter that we've had to-date. So that's included in there. I didn’t – we didn’t give specific numbers to each of those.
Andy Levi – Avon Capital Advisors LLC: Is there a range you can give us or anything like that? I was just trying to figure out what – so I can help me figure out what my earnings power is for 2015, that’s why I'm asking all these questions?
Mark Thies: Well, I just said the, Brian's, last comment is it’s reasonably close across each of the three things we identified, operating costs, loads, and the deferral of the information management system and the work management system.
Andy Levi – Avon Capital Advisors LLC: Okay. But you can't tell me how much weather benefits in this year's number?
Mark Thies: That’s what in the loads, so….
Andy Levi – Avon Capital Advisors LLC: Okay. No, I know but I can't picture that. I know that’s $0.05, $0.10, $0.02 whatever. Okay, I will talk to Jason afterwards maybe we can get offline?
Mark Thies: [Multiple Speakers] anything…
Andy Levi – Avon Capital Advisors LLC: Okay, okay. Most companies can kind of quantify that, usually do. So anyway, so just to move on the stock buyback actually before I get to stock buyback, just on the information systems, how much of a – how much had you – where you are going to include in your earnings for 2014 that’s now not as far as the expense on that?
Mark Thies: It’s the same, Andy, it’s the same thing. We had the three, we've raised our guidance $0.12, and we had the three issues that we identified?
Andy Levi – Avon Capital Advisors LLC: But how much is the information systems on this?
Mark Thies: I didn’t say any of them, they're just across the board…
Andy Levi – Avon Capital Advisors LLC: Okay.
Mark Thies: There is three of them.
Andy Levi – Avon Capital Advisors LLC: Okay. I apologize for asking the question. And then on the stock buyback, you plan to buyback all that stock this year, right, because there were verbiage [ph] but actually I thought there were just like legal mumbo-jumbo, right, but you are planning to buyback all that stock, right?
Mark Thies: Included in our guidance, we expect to repurchase the 4 million shares, up to 4 million shares.
Andy Levi – Avon Capital Advisors LLC: All right, all right, okay.
Mark Thies: Some of that, I do have to say, some of that limited by our trading volumes with our plan. So if our trading volumes aren’t there, I can't say that we will absolutely get all that buyback, there are limitations on that. We do expect in our plan and in our expectations that we will get that repurchase over the course of the year.
Andy Levi – Avon Capital Advisors LLC: Okay. And when you say trade, is there – are there restrictions on how much you are allowed to buy based on volumes?
Scott Morris: Yes, that’s an SEC requirement with our plan. And so I believe it’s 25% of the average daily last x number of days volumes. I don’t remember the exact number of days, but there are restrictions and that’s included in our plan. That’s the other reason I would say if our volumes are off, that could affect the amount of shares that we can repurchase.
Andy Levi – Avon Capital Advisors LLC: That’s helpful, I wasn’t aware of that. Okay. Thank you very, very much.
Mark Thies: Thank you, Andy.
Operator: And our next question comes from John Barta of KeyBanc. Please go ahead.
Scott Morris: John, anybody? Janet, if you want, get to next call.
Operator: All right. And I'm showing no further questions at this time.
Scott Morris: It sounded like somebody is trying to get back on the line, so if you may want to Janet see if somebody has a quick question?
Operator: Okay.
Mark Thies: I think we had John in there at the end.
Operator: John, your line is open.
John Barta – KeyBanc Capital Markets, Inc.: Hello?
Scott Morris: John?
John Barta – KeyBanc Capital Markets, Inc.: Hello?
Mark Thies: Hello.
Scott Morris: You are on.
John Barta – KeyBanc Capital Markets, Inc.: Okay. Sorry, my phone was running on mute. Just a quick follow-up on the last questions with the repo, could that possibly be extended into 2015 based on maybe volumes year end or?
Scott Morris: We'll have to do. Our plan expires at the end of 2014. You could always do a new plan. I mean there is – you could always implement a new plan in an open period if you didn’t feel you are going to have to do that. But our – this current plan does expire.
John Barta – KeyBanc Capital Markets, Inc.: Okay. And then just a little bit on the background of the delay in the IT system or the billing system or is it just?
Scott Morris: Our overall computer system, those things are significantly complex projects. And we set out with timelines, we expect to get in kind of the end of this year, and we've just decided based on and doing all the work in the complexity of it that’s it’s going to take into next year. So those things happen, our capital has moved, we did have initially $80 million, we expect that to be $100 million, so that’s the $20 million increase we put in for this year. But that project is still, it is the heart and soul of our system to interact with all of our internal systems and with our customers. So it’s a very important system to get done and get it done right, and that’s what we are taking the time to do.
John Barta – KeyBanc Capital Markets, Inc.: Okay. So this is just more of a function of Alaska and kind of integrating that as well?
Scott Morris: No, it has nothing to do with that. This is Avista Utilities system…
John Barta – KeyBanc Capital Markets, Inc.: Okay.
Scott Morris: And it’s really – it’s just – it’s a complex system, it’s our major system, it touches everything.
John Barta – KeyBanc Capital Markets, Inc.: All right. I appreciate it. Thank you.
Scott Morris: Thank you.
Operator: And I'm showing no further questions at this time.
Jason Lang: I want to thank everyone for joining us today. We certainly appreciate your interest in our company. Have a great day.